Operator: Good morning. My name is Krista, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Parex Resources 2023 Annual Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Mike Kruchten, Senior Vice President, Capital Markets and Corporate Planning. Mike, you may begin your conference.
Mike Kruchten: Good morning, everyone, and welcome to Parex's fourth quarter 2023 conference call and webcast. My name is Mike Kruchten, and on the call with me today are our President and Chief Executive Officer, Imad Mohsen; our Chief Financial Officer, Sanjay Bishnoi, and our Chief Operating Officer, Eric Furlan. [Operator Instructions] As a reminder, this conference call includes forward-looking statements as well as non-GAAP and other financial measures, with the associated risks outlined in their news release and MD&A, which can be found on our website or at sedarplus.ca. Note that all amounts discussed today are in U.S. dollars, unless otherwise stated. I'll now turn the call over to Imad. Please go ahead.
Imad Mohsen: Thank you, Mike, and good morning, everyone. Before I turn it over to Eric, Eric to discuss our recent operational and reserves results, and to Sanjay to provide the financial overview, I'd like to share some high-level commentary on our 2023 performance and how we are well positioned for the future. I will conclude the call with some remarks on Parex's outlook. In 2023, our assets performed well and generated record full-year and fourth quarter average production, while delivering excellent safety performance throughout the year. Including share buybacks, production per share was up 12% when compared to the previous year. And over the last three years, we have been growing production per share at roughly 15% a year. And over the same period, our average return of capital employed was over 30% average. For 2023, our PDP reserves replacement ratio was 100%. And our PDP Reserves Life Index remains approximately four years roughly consistent with where it was over the last five years. As a conventional producer where shorter reserve life indexes are more common compared to unconventional producers, our assets extend beyond the reserves book, and include 5.4 million net acre land position that we have acquired over the last three years. Our ongoing efforts in permitting, seismic analysis and comprehensive block modeling are yielding positive results. We have doubled our portfolio in terms of prospective targets and have high-graded our future opportunity pipeline. For 2024, our long-term planning incorporates lessons learned from 2023. Our guidance is robust and incorporates layers of contingency to navigate potential volatility. The midpoint production guidance we have set is achievable and has sufficient remaining contingency despite the shut-in we faced in this past month. Today, I am confident our base production – with our base book production, where we are seeing the initial benefits from our waterflood investments in SOCA, at Cabrestero and Block 34. I'm optimistic about our near-term growth at Arauca and excited about leveraging the upside of our large land base throughout – through exploration and exploitation in Colombia, a country where we have a proven competitive advantage. With that, I'll invite Eric to cover our operational and reserve results.
Eric Furlan: Thanks, Imad. Regarding our 2023 reserves report, it's fair to say that it was below management expectations. Three items that provide us with some positive outlook for the future of the 1P, 2P reserves are: we will have a better visibility to the extent of our Arauca-8 once we're finished testing the remaining zones which is happening as we speak and once we complete appraisal drilling. For 2024, our exploration plan includes spudding three high-impact Big 'E' exploration wells as well as roughly five near-field exploration targets that have a higher chance of success relative to the high risk reward Big 'E' program. And as Imad alluded to, we've been high-grading our portfolio, and we see significant runway in Colombia. In fourth quarter, production averaged 57,329 BOE per day, up 6% compared to the previous year. As Imad mentioned, this has been a quarterly record for Parex. I'm pleased to say that we are back at full operations at both Arauca and Capachos, with Capachos already ramped up to approximately 75% of where it was before shutting. I want to thank our team for working with the Columbian government and our community stakeholders to quickly come together and reach a mutually beneficial solution. At Cabrestero, we are seeing success in our waterflood injection efforts, where production is ahead of our budget. We're also excited about our polymer flooding pilot that we started at the end of last year. The polymer injection has gone smoothly, and we have started a comprehensive monitoring program. We look forward to getting a full picture of the effectiveness of the technology over the next six months or so and are planning to provide an update in the second half of 2024. We are optimistic about what we are seeing so far from enhanced oil recovery or EOR efforts, and what it could mean for future increases in recovery factor. With that, I'd invite Sanjay to please go ahead.
Sanjay Bishnoi: Thanks, Eric. I'm encouraged by our progress, which spans our social and access teams to our operational and technical teams, and I look forward to helping execute the business plan in 2024. Let's now look at the financial picture of our business. Funds flow provided by operations for the quarter was $193 million, supported by strong commodity pricing, growing production and current taxes that were better than expected, offset by higher production costs. The better-than-expected result in current tax is primarily driven by the surtax calculation for 2023, ending up at 10% versus our prior expectation of 15%. This was due to the levels at which Brent prices ended in 2023, and with 2023 being the first year of the surtax, there was clarity provided by the government on the calculation of the surtax itself. In addition, a court ruling in Colombia reinforced the deductibility of royalties from taxable income. Our production costs were higher mainly because of higher energy costs, workovers, and the Colombian peso appreciation against the U.S. dollar. Higher energy costs are primarily a result of drier conditions in Colombia, where a significant portion of power is derived from hydroelectric sources. We ended the quarter with a working capital surplus of $79 million, the sale of a large export cargo in the fourth quarter and the timing difference between collecting cash on that cargo versus closing the quarter resulted in a $90 million draw on our credit facility that has been partially repaid. We are currently in a positive net debt position, cash, cash less the credit facility. But depending on commodity prices, we forecast that we will keep a small draw on the credit facility to manage capital requirements at different times during 2024. Long-term, we do not see Parex in a net debt position and one item worth highlighting outside of production that can support working capital will be the deployment of $30 million to $50 million of long-lead material and equipment inventory off of the balance sheet this year. Our 2024 plan that was released last month is governed by our long-term capital allocation framework which, consistent with prior years, has us returning approximately 33% of funds flow to the shareholder while we reinvest the remaining back into business. In 2023, we met our goal of returning 33% of funds flow, returning $224 million through dividends and share repurchases. It is worth restating here that the business interruption that we recently experienced in the Northern Llanos was within the contingency parameters that have been incorporated into our outlook and that these interruptions have not materially changed our outlook for the year. We continue to build on our return of capital track record, which is one of the best in the E&P space. Cumulatively, over the past five years, we have returned over C$1.5 billion through dividends and share buybacks, which is about two-thirds of our current market capitalization today. With our track record firmly established, I look forward to being a part of the team that is focused on capitalizing on the opportunity set that we see in Colombia. With that, I would now like to turn the call back to Imad for some final remarks. Please go ahead, Imad.
Imad Mohsen: Thank you, Sanjay. Our expectations for 2024 are high, and we are confident that we have taken the right steps to be well positioned to outperform. Resolving the recent situation in Northern Llanos was imperative for us. It is important to note that we came to a framework with the community that should provide long-term stability. The company's ability to collaborate with the government and communities effectively is instrumental in driving long-term operational momentum for us, especially in this new area where we anticipate strong capital efficiency. Based on the results so far from Arauca-8, I'm excited about what’s to come. And as it relates to the portfolio, Arauca-8 demonstrates our execution ability on high-impact Big 'E' exploration, which is one of the key reasons why investors should be attracted to Parex. Regarding our Foothills MOUs Ecopetrol, we are making meaningful progress in this area with significant potential that could enhance our growth profile. Within the Foothills MOU, progress is already underway on several fronts as regulatory matters related to infrastructure access and the spot of the Arantes exploration well at Block 1 to 2 in January. Our team remains focused on achieving year-over-year production increases, enhancing capital efficiency and delivering exploration success. In my mind, we are taking the right steps to execute these, which in turn should result in strong free cash flow growth, reserve increases and shareholder value. To end, I extend my gratitude to our dedicated staff for their hard work. I also express appreciation to our shareholders for their support. Despite recent volatility, our team and strategy are on the right trajectory. This concludes our formal remarks. I would now like to turn the call back to the operator to start the Q&A session for the investment community.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Alejandro Demichelis from Jefferies. Please go ahead.
Alejandro Demichelis: Yes, good morning. Thank you very much for taking my question. Couple of questions, if I may. First one, could you please give us a bit more detail on what this frame agreement with the communities entail, and whether that's dependent on some kind of delivery from the government? Or is that something that is entirely in the hands of Parex? And then the second question is, maybe you can give us your view on how you're seeing your operating cost developing through the rest of 2024, given the volatility on electricity prices?
Mike Kruchten: Thank you. I'll direct the first question on the communities to Imad, and then Eric can talk about the operating costs.
Imad Mohsen: So thanks, Alejandro. The community framework had two components indeed. One component has to do with long-term government promises to the community and requirements for infrastructure spend, the government indicated that they would will to do their part. That being said, we also have a very clear set of demands and synergies with the community in the long-term that we agreed to. I would say the biggest element there was – has to do with connecting the – expanding a little bit the local gas infrastructure in the area for distribution to people living there and our supply to that network. And for these kind of agreements, other than the fact that people commit to do work together and extends over a long period of time. By creating that interdependency say that the gas comes from our field that feeds people’s cooking, stoves, et cetera, makes it much more profitable for everybody that we keep producing. So we see it as an investment in our future as well. Do you want to answer, Eric, the next question?
Eric Furlan: Regarding operating costs, we've already discussed. There’s three main components here that is the Colombian peso, power and workovers that really drove the three things. As far as what we see going forward. So power is still at a slightly elevated level but is not hitting the peaks that we saw last year. Obviously, that's because of the drier season, and hydroelectric power generation. So we're seeing some stabilization there at a lower level than we had last year. The other thing that we can control is workovers. We've had a big effort in stabilizing our power system in the Southern Casanare, disruptions in the power system caused wells to go down that increases workovers. And we've had and also compensating for some of the longer-term social shutdowns. I'm pleased to say that we brought Capachos back online and will not require any OpEx funds for workovers. All the wells came back online after that short shut in. So we think we can really impact that workover number by keeping things stable. We've had a really good year so far. The COP is a bit out of our control, and we see power elevated but down from last year.
Alejandro Demichelis: Okay. That's great. Thank you.
Operator: Your next question comes from the line of Conrad Bereznicki from Peters & Company. Please go ahead.
Conrad Bereznicki: Hi, everyone. Thanks for taking my question. I just had a question around the ramp-up at Capachos. It’s four days after the blockades finished, production is already back to 75%. What are you doing differently this time to get that ramp up to be a lot quicker? And then also, when do you fully expect to be back to that 5,000 barrels a day?
Mike Kruchten: Hey, good morning, Conrad. I'll pass that again to Eric.
Eric Furlan: Good morning, Conrad. So it was a bit short of shut in. We had a – when we shut the field down, we had the opportunity to shut it down in a way to minimize surge impacts and all the pumps. So the field was shut down quickly, but in efficient manner. Then we brought everything back online and everything did come back online, which is nice to see. We're actually at about 80% of pre-shutdown. And we expect now as the wells clean up to get back to full capacity, Capachos in the next seven to 10 days, I would expect.
Conrad Bereznicki: Got it. Thanks for that. Just one more quick question. You're testing the Arauca-8 well right now in the Guadalupe. When should we expect results on that test? Is that coming in the next couple of months? Is that something with Q1? When should we look for timing on that?
Mike Kruchten: Conrad, when it comes to Arauca-8, we're finalizing the final stages of the last test. That will happen over the next couple of weeks, and it really depends on what zone we decided to produce at the timing. But we expect Arauca-8 roughly to start producing between mid-March to mid-April we'll have that fully online. And then we're also proceeding with drilling the additional delineation wells in that area.
Conrad Bereznicki: Got it. That’s very helpful. I have no further questions.
Operator: [Operator Instructions] Your next question comes from the line of Phil Skolnick from Eight Capital. Please go ahead. 
Phil Skolnick: Yes. Thanks. Good morning. Just further on to Arauca-8. Just kind of thinking more as you continue to test that and drill additional wells around that, what – could there be any kind of a mid-year report because you already did book some reserves with Arauca-8?
Mike Kruchten: Sure. Thanks, Phil. Good morning. Eric?
Eric Furlan: Sure. I mean the key part, as we've mentioned, Arauca and the Arauca-8 discovery is the fact that we've got one well and really to understand the mapping and the size and materiality. You need several delineation wells. And the first one of those will be spud immediately after the completion of the Arauca-8 testing. So is a mid-year report a possibility? It sure is, depending on the timing and the results and the materiality of what we're seeing, but it's certainly something that we've got our eyes on to proceed with.
Phil Skolnick: Okay. Thanks. Just a follow-up. Like kind of just on the lower risk side of things. What can we look forward to that could help to offset the reserve revisions that you're impacted by the 2023 report?
Eric Furlan: As far as the reserve revisions, what are we looking at as far as the reserves down the road? The first thing I would highlight is the Southern Casanare, I know there were some revisions there this year that in the scheme of things were really just minor adjustments up and down as we've seen in a lot of years in the Southern Casanare, but the performance there is working out quite well. Our Cabrestero block, it's a bit ahead of Block 34 as far as EOR deployment is performing very well. We're happy. We're above budget there. We're about to set new records for production from the block. And really, we haven't added any wells there for quite a few months. So we are seeing some good stabilization, some good EOR performance. So that whole – what is the Southern Casanare decline trends look like going forward? Small changes in performance from waterflood has big long-term reserves impact. So that's what we're looking at there. As far as the next one that comes to mind, obviously, is delineation around Arauca-8. Exciting discovery and one well does not make a reserves booking. You need something to map. So that's next. And then we've got a mix of Big 'E' and Small 'E'. The Big 'E', I don't have to say much about that. If they're successful, they have a very material impact on the company. And the Small 'E' is really meant to add in some low-risk prolific wells with very quick payouts. Most of these are targeting in the 1 million to 3 million-barrel range. They're not huge reserves each, but they're quick to drill, very quick to get online, add to production and more importantly, add significant cash flow and quick bets. So those are the – those are all parts then. Longer term, we've got a big runway of opportunities that we're trying to accelerate. As we mentioned, our opportunity base has doubled significantly on our Big 'E' and Little 'E' opportunities. So longer term, that's what we're looking at also to grow the reserves book and grow the size of the company.
Phil Skolnick: Good. Thank you.
Operator: We have no further questions in our queue at this time. I will now turn the call back over to Mike for closing remarks.
Mike Kruchten: Thank you very much for joining us today. Please feel free to contact me directly if you have any additional questions, and have a great day.
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.